Operator: Good afternoon, everyone, and welcome to TILT Holdings Third Quarter 2020 Earnings Webcast. At this time, all participants are in a listen-only mode and a question-and-answer will follow the formal presentation. [Operator Instructions] This webcast is being recorded for replay purposes. A replay of the audio webcast would be available in the Investor Relations section of the company's website approximately 2 hours after the completion of the webcast and will be archived for 30 days. I would now like to turn the conference over to your host for today, Taylor Allison, TILT's Director of Investor Relations. Thank you. You may begin.
Taylor Allison: Thank you, Devin, and good afternoon, everyone. Thank you for joining TILT Holdings third quarter 2020 earnings webcast. With me today are Mark Scatterday, Chief Executive Officer; Brad Hoch, Chief Financial Officer; and Gary Santo, President. Earlier this afternoon, we issued a press release announcing our results for the fiscal quarter ended September 30, 2020, a copy of which is available in the Investors section of our corporate website at www.tiltholdings.com. We have also filed our release with the applicable Canadian securities regulatory authorities on SEDAR. Please note that during this afternoon's webcast, remarks we make today regarding future expectations, plans and prospects for the company constitute forward-looking statements within the meaning of applicable Canadian securities laws. Actual results may differ materially from those indicated by such forward-looking statements as a result of various factors, which we disclose in more detail in the Risk Factors section of Management's Discussion and Analysis for the three and nine months ended September 30, 2020, filed with the applicable Canadian securities regulatory authorities and can be found on www.sedar.com. We remind you that any forward-looking statements represent our views as of today and should not be relied upon as representing our views as of any subsequent date. While we may update any such forward-looking statements in the future, we specifically disclaim any obligation to do so, except as otherwise required by applicable law. Also, please note that on today's call, we will refer to certain non-IFRS financial measures, such as EBITDA, adjusted EBITDA and gross profit margin, excluding changes in the fair value of biological assets and inventories. These measures do not have any standardized meaning prescribed by IFRS and may not be comparable to similar measures presented by other companies. TILT considers these certain non-IFRS measures to be meaningful indicators of the performance of its business in addition to, but not as a substitute for, our IFRS results. A reconciliation of such non-IFRS financial measures to the nearest comparable IFRS measure is included in our press release issued earlier today. Mark will begin with a high-level review of our third quarter, followed by Brad, who will provide an overview of our financials during the quarter. Gary will then discuss recent developments and operational highlights, after which the team will take questions. With that, I now turn the webcast over to Mark.
Mark Scatterday: Good afternoon everyone and thank you for participating in our third quarter earnings webcast. I'd like to start to call by reviewing the performance of our business lines, Jupiter Research, the market leader in inhalation technology and our plant-touching businesses, Commonwealth Alternative Care and Standard Farms. Next, I'll be passing the call to Brad to discuss our financial results in detail. Following Brad's remarks, Gary will discuss management strategic vision for TILT as we focus on our highest potential assets to create shareholder value, including our decision to divest from Blackbird. I would also like to congratulate Gary on his recent promotion to President and Brad on removing his interim title and making the move to permanent CFO position. In the third quarter, our business returned to growth after experiencing a string of macro headwinds, including concerns about elicit vape products in the marketplace and the global pandemic. Revenue for Q3 was $40.4 million, a 5% sequential increase over Q2. We also generated record adjusted EBITDA for the quarter of $2.8 million. We drove revenue growth from our two most profitable business lines, Jupiter and plant-touching, partially offset by a decline in Blackbird. Jupiter is our largest business and the market leader in the sale and development of inhalation technologies. In Q3, Jupiter returned to generating positive top-line growth and with its lean centralized and highly productive operating footprint, it continues to be a steady positive cash flow engine for TILT. Momentum picked up throughout the quarter as order patterns returned to normal and large customers continued to increase their order size. In September, we shipped the record number of total cartridges. Our disposable product category is still being impacted by the effects of COVID, where tourist centric markets like Nevada are still feeling the effects. The true strength of the Jupiter platform is its well diversified client base, which sells to customers in 35 States and 15 countries. As new States adopt cannabis legislation and more Americans get comfortable with the idea of using cannabis for wellness, we expect the addressable market for our inhalation technologies to increase significantly over the next two years. This is supported by the recent election cycle with five new States, adding cannabis legislation increasing the adult use population by 20%. Both Mexico and Israel are also poised for broader legalization. This is trending worldwide. As the category leader, supporting MSOs, LPs and independent cannabis companies, it is imperative that we continue to drive innovation and growth of this product sector. The opportunity for Jupiter's global and outside of the U.S. were continue to make significant strides. In the third quarter, revenue from Canadian customers grew nearly 20% sequentially with the continued rollout of Cannabis 2.0 in that market. We've also taken meaningful steps this quarter to drive the next wave of Jupiter's growth both in the U.S. and internationally, including our partnership with Kanabo Research to enter the growing European medical market, which Gary will touch on later. We are thrilled by the growth we see from our two plant-touching businesses that operate in two of the fastest growing cannabis markets in the U.S. In Massachusetts, Commonwealth Alternative Care was up 31% sequentially and our Taunton medical dispensary displayed strong same-store sales growth in Q3 with an 8% increase sequentially and 41% increase year-over-year. Autumn line Massachusetts is well on its way to being a billion dollar market with the very attractive supply constraint dynamics that CAC's wholesale operations and expanding cultivation footprint are helping to address. Gary will talk further about our cultivation and the status of our retail expansion, but we are excited about the potential regulatory approval to enable further growth in this market. Our Standard Farms' cultivation and processing business also demonstrated strong growth in Pennsylvania. Our expanded product offering and revised pricing strategy contributed to a new monthly record in sales in September. During the third quarter, Standard Farms sold product over 90% of the dispensaries in the state. These achievements reflect Standard Farms' well-established reputation in Pennsylvania's wholesale market as one of the oldest operators in the state. Overall, the two main businesses lines that drive our business are complementary, resilient and high margin. Jupiter's highly efficient operating model continues to provide a foundation of consistent profitability and broad customer reach. This is supplemented by the healthy growth of our plant-touching business focused on B2B sales. With that, I will now turn the call over to Brad, who will break down our quarterly financial performance in more detail.
Brad Hoch: Thanks, Mark, and good afternoon everyone. Revenue for the third quarter was $40.4 million, up 5% sequentially driven by 3% growth in Jupiter's quarter-over-quarter revenue and 24% growth in plant-touching revenue from Pennsylvania and Massachusetts. I'll note that Blackbird only represented 3% of overall revenue in the quarter and 4% of TILT's overall revenue year-to-date through Q3. Our two biggest most profitable verticals are driving growth. As Mark mentioned, September was one of our strongest months for Jupiter, Standard Farms and Commonwealth Alternative Care. We're happy with where these businesses are trending and expect further revenue growth. We generated record adjusted EBITDA of $2.8 million in the quarter, more than double TILT's $1.2 million adjusted EBITDA in Q2 excluding Blackbird. Our pro forma adjusted EBITDA would have been $5.4 million, almost doubling our current adjusted EBITDA. Gross profit before fair value of biological assets were $12.2 million. Gross margin of 30.3% compared to 28.3% in Q2. Improvement in gross margin was driven by a shift in revenue makeup away from lower margin Blackbird revenue, the higher margin revenue from Jupiter at our plant touching businesses. We expect continued improvements gross margin as CAC and Standard Farms achieved greater scale and efficiency. Total operating expense for the third quarter was $17 million, compared to $17.2 million in Q2. Cash related operating expense declined to $10.6 million, compared to $10.8 million in Q2. On a year-over-year basis, our cash related operating expense has declined by 17% from the prior year period. We've done a great job over the last year of streamlining our business and reducing costs. And we expect the divesture of Blackbird will reduce our quarterly operating expense by $3 million. The company recorded a net loss of $4.6 million, compared to a net loss of $9 million in Q2. We continue to view adjusted EBITDA as a better view of true profitability because it adjusts for change in biological assets, which fluctuates quarter-to-quarter. Adjusted EBITDA was $2.8 million in the quarter, a 134% improvement sequentially in our third quarter in a row with positive adjusted EBITDA. We expect continued improvement in profitability as we generate more operating leverage from our two plant touching businesses, and especially after our divestiture of Blackbird. Cash flow use and operations in Q3 was $5.2 million. This sequential decrease in cash from operations was attributed to an $8.3 million increase in inventory to fill order volume, and a $4.9 million decrease in accounts payable. After responding to the initial stress test of COVID-19, TILT is emerging as a leaner more profitable business with a runway of a creative opportunities to reinvest in our footprint to drive growth and shareholder value. With that, I will pass the webcast over to Gary for an in-depth look into what we are doing to drive additional growth.
Gary Santo: Thank you, Brad. And good afternoon, everyone. I'd like to spend the remainder of our prepared remarks focusing on management strategic vision for TILT, and how we seek to create shareholder value by focusing on becoming the preferred B2B partner, MSOs, LPs independent cannabis dispensary's and brands. As the cannabis industry continues to expand across the U.S. and throughout the world, our aim is to ensure that TILT is well positioned to support that growth. First, a few words about management's decision to divest Blackbird. It is clear that the cannabis marketplace needs a comprehensive technology solution capable of bringing brands, retailers, and consumers together on one platform. We continue to believe that the Blackbird platform has the potential to be that solution wherever the marketplace is heavily fragmented and hyper competitive with multiple players offering disparate systems at a rational prices, making it difficult to achieve sustainable profitability. We put this into the context of M&A, and only 4% of revenue year-to-date. Blackbird is effectively a startup company that requires additional capital and significant resource commitments in order to achieve scale. Presently, startups and early stage assets are not the typical acquisition targets for TILT, while the returns on such investments can be outsized the time, resources, and uncertainty associated with their development creates potential opportunity costs for other parts of the business that offer a higher ROI and near term growth prospects. Digging a bit deeper into the pro forma metrics provided in our earnings release filed earlier today, that we divested Blackbird at the start of 2020, the 4% decrease in revenue through September 30 would have been more than offset by a 170 basis point increase in gross margin, excluding the fair value of biological assets. Operating expenses would have increased 15%, while cash burn would have also decreased by more than $7 million. Overall, this would have resulted in a 120% improvement in adjusted EBITDA from $5.7 million to $12.7 million through the first nine months of the year. Most importantly, it would have allowed us to redeploy resources towards accelerating growth in our inhalation and plant touching businesses, which have been a steady source of cash flow and profitability despite being resource constrained for the past 12 to 15 months. It is important to note that while the proposed transaction does result in Blackbird becoming a private standalone entity under its founder, Tim Conder, it’s structure will allow TILT to participate in any upside should Blackbird achieve scale, as much as it is bittersweet to see Tim leave the TILT family after the incredible job that he has done since joining the firm. We cannot think of anyone better suited to leave Blackbird into its next phase. Moving on for inhalation business, we saw a record cartridges shift in September, and are encouraged by the continued growth at Jupiter, especially as we appear to be on the cusp of further market expansion. It is important to note that Jupiter is more than a distributor and a reseller of CECL products. Well, that is certainly a significant part of our business. At our core, we are a leading solutions provider and technology innovator, having been at the forefront of developing disruptive foundational technologies designed to address the ever-changing needs of consumers. As many of you know, Mark helped to pioneer the application of CECL technology to high viscosity, THC and CBD concentrate vaporization. The first of three pillars upon which Jupiter was founded. Jupiter's addition to the TILT family was intended to provide Mark with the additional resources necessary to fulfill his vision. However, the inverse occurred with Mark spending the majority of his time at the corporate level leading TILT’s successful turnaround. This was an opportunity for the competition to grab market share. However, 18 months later approved the lost opportunity, as Jupiter has maintained its dominant market share in the CECL category, delivering profitability, stable margins, and consistent cash flow. And now with our recent management changes, as well as the divestiture of Blackbird, Mark will finally get the time and the financial resources originally promised allowing him to once again focus on delivering the types of innovation that has made Jupiter a leader in the space, further distancing us from the competition both domestically and abroad. We have established ourselves as the preferred partner for everyone from large multi-state operators to small independent businesses in nearly every state in the U.S. as well as Canadian LPs, international distributorships and brands worldwide. Jupiter builds trust through quality, consistency, and reliability. Our expertise managing supply chain complexities has made us a dependable go-to source for products throughout the year, even when competitors have struggled with inventory shortfalls, something we have seen in the first and third quarters of this year alone. Helping our customers get to market faster is a key component of our strategy, through partnerships with Convectium, combining their automated filling and capping system with Jupiter's exclusive pre-rack solution, as well as with Denali to provide their Kinder Safe premium child-resistant packaging solutions. We continued to add to a growing suite of products designed to further simplify the supply chain for our customers. With a renewed focus on our plant touching assets, we now have the opportunity to add another dimension to what we can offer current and future Jupiter customers in limited license supply constrained markets. On the international front, building upon our success achieving medical certification for our L-9 device in Israel. We recently announced the expansion of our partnership with Kanabo Research to develop a similar medically certified device for the European Union. Our team in Canada has done a fantastic job scaling our business north of the border, supporting LPs as they enter cannabis 2.0 and being part of their customer customer-focused solutions for inhalation. As Mark mentioned earlier, third quarter Canadian revenue improved 20% compared to the second quarter, and now represents 7% of overall Jupiter sales. We are excited about the prospects of repeating this process in Europe, as that market continues to grow and moves beyond just flower. Turning to our plant touching assets, our Pennsylvania and Massachusetts facilities continue to deliver positive adjusted EBITDA and cash flow with top line sequential revenue growth of 24%, compared to the second quarter, and year-to-date top line revenue growth of 32%, compared to the first nine months of 2019. Standard Farms our Pennsylvania operation reported its highest quarterly revenue ever in the third quarter, while Commonwealth Alternative Care, our Massachusetts operation has resolved previously reported harvest related issues and recorded their second largest revenue month for the year in September, both look to finish the year strong, and the best part is that these facilities have room to grow, no pun intended before near and full capacity. We continue to see high demand for our premium flower and consumer packaged goods. As we work closely with the leading dispensaries and MSOs, many of whom are also clients of Jupiter. Our new product offering sell out as fast as we develop and launch them. According to a recent patient survey, our Standard Farms brand remains a top three brand in the State of Pennsylvania, which when you consider the fact that we do not have a retail presence there is a remarkable achievement. Meanwhile, earlier this year, CAC recently won best edible at The New England Cannabis Convention for their chocolate flavored coffee beans. With this kind of success and additional resources now available, we look forward to scaling our plant-touching operations in order to meet market demand in these two dynamic markets. Near-term examples, including investing in additional equipment at Standard Farms that will allow us to increase extraction capacity by over 50% as well as improved production yields like 15% to 20%. Similarly expanding our tiered cultivation capacity at CAC should allow us to offer a greater diversity of strains and significantly improved production capacity there as well. A few words about our Massachusetts operation. CAC operates a state-of-the-art 46,000 square foot facility in Taunton that includes 18,000 square feet of flower rooms, as well as manufacturing and processing operations and a medical dispensary. We are in the process of doubling our canopy and recently received approval to begin operations in the first phase of that expansion, adding 10,000 square feet of flower rooms as well as 7,500 square feet of packaging and manufacturing space. We are happy to report that plants are in the ground in three of the six new flower rooms with the remaining three expected to come online by year-end. We're also in the late stages of completing our second phased expansion, which will provide for an additional six flower rooms pending regulatory approval. To that end, I'd like to take a moment to comment on the regulatory status at both the state and local level in Massachusetts. Taunton has been a fantastic host to Commonwealth Alternative Care. And in return, we have done our best to respond in time, supporting the surrounding community by providing jobs, tax revenue and cost offsets. We are committed to using local vendors whenever possible and have worked to support the sealing of CORI records for people with past misdemeanor drug possession convictions. With facilities fully constructed and ready to go, we look forward to bringing that same commitment and level of engagement to the communities of Brockton and Cambridge once we receive approval to open our doors there. To be clear our plans in Massachusetts have not changed. We continue to progress in the planned expansion of our existing Taunton dispensary to include adult-use sales as well as our efforts to open medical and adult-use dispensaries in Brockton and Cambridge, where we maintain provisional licenses to operate medically, pending final approval from the Massachusetts Cannabis Control Commission. Our applications for provisional licenses for adult-use retail facilities in Brockton and Taunton were deemed complete by the commission in March of 2019. We've updated those applications in September to reflect the changes that TILT has undergone and have continued to work diligently with the commission to complete its review of our applications during the past year. We have every confidence that the commission is working to review our applications in a manner that is both expedient and within the confines of the Commonwealth’s regulations. Understandably, concerns regarding our municipal level regulation and licensure, stem from the unanticipated length of time, it has taken to receive our provisional state licenses. However, we continue to have a productive dialogue with the commission, providing proper responses to any and all requests received and are confident that we are taking all possible steps to ensure that our plans for Commonwealth Alternative Care come to fruition. So what does all this mean to our shareholders, simply that taken together Jupiter and our plant-touching businesses offer a highly differentiated business solution platform designed to provide our customers with answers to their strategic needs and inhalation product development as well as provisioning in major supply constrained markets. Across CAC and Standard Farms major MSOs makeup five of our top 10 clients and a third of our overall plant-touching revenue. This represents a powerful untapped potential in terms of achieving synergies and cross-selling opportunities between our plant-touching and non-plant-touching businesses. With such strong core assets and diversified revenue streams, we're not looking to compete with our customers; we're looking to help our customers be competitive. It's time to go to work. With that we conclude our prepared remarks and we'll now open the call to questions. Taylor?
Taylor Allison: Thank you, Mark, Brad and Gary. We will now be happy to answer your questions about TILT in our third quarter results. Well we will take live questions from our equity analysts, all other webcast listeners will need to submit their questions via our open webcast question submission system. Time permitting management will do its best to answer as many questions as possible. Operator, can you please open the line for any equity analysts’ questions?
Operator: At this time, we will be conducting a question-and-answer session. [Operator Instructions] Our first question comes from the line of Aaron Grey with Alliance. Please proceed with your question.
Aaron Grey: Hi, good evening and thanks for the question. So appreciate all the prepared remarks kind of on the updated strategy as well. So, I guess, I'll kind of start with that. Now as you guys have announced the divestiture of Blackbird, so looking at Jupiter and the plant-touching assets and how you look to kind of go forward with that new strategy. You guys mentioned how the plant-touching, you can actually kind of help some of the MSOs and kind of be partners with them. So can you just kind of elaborate kind of on that particularly given you do have the branded products within your plant-touching, so how you're looking to partner with them? And then as those markets look to kind of grow, particularly in Pennsylvania, kind of the capital that might be required to kind of increase cultivation. So how you are thinking about capital allocation beyond some of the increased yields you mentioned kind of longer-term? And just kind of bring it all together to ask that with the lens of what just happened the other week with the election and increased speculation, how there might be changes at the federal level regarding cannabis depending on what might happen in January with the Senate. So I know that was kind of involve within that, but your commentary there would be helpful. Thanks.
Mark Scatterday: Hi Aaron, and thanks for joining us today. A few things packed in there. So I'll try to hit them. If I forget any, please jump in. I think regarding the strategy as it pertains to plant-touching, the thing to remember about a lot of the MSOs in other - in certain States, it's possible that you are allowed to carry wholesale such as Florida. So you're obligated to carry all of your own products and be vertically integrated. But in most of the other States, I would say that typically the MSOs do tend to carry each other's products. So having some of our own brand architecture is really not a competitive disadvantage. In fact, it gives more variety and allows the MSOs to create sort of that curated experience. So not only do they have their own brands, but they know that if their customers like a few other brands, they can carry them as well. And in particular in Pennsylvania where ours is a top three brand, we think that that's helpful to the MSOs who purchased from us because again it's a reason for their customers to come back time and time again. But that's not the limit to what we're looking to do. Besides our own branded products, similar to what we do with Jupiter, we also can offer white labeled products and contract manufacturing. So if we have brands that are looking to get into the space, but maybe they don't have a retail presence, if we have any smaller retail outlets that might be looking for a house brand and they're not affiliated with an MSO, we provide any of those levels of services, whether it's a house branded product, a contract manufacture product and so on. So for us, our ability is to try to take a look at what the market has, where is the market going in terms of product and development and make sure that we're always out in front with good quality products, whether under our name or whether under our partners names and to make sure that they're cutting edge to the extent possible. And we can do that in Massachusetts. We can do that in Pennsylvania. And I think that's really where we can add the most value, especially going forward as this market expands.  I think there's a number of retail licenses that were awarded in Pennsylvania. Massachusetts, I believe is expanding their number of retail outlets and not all of these shops are partnered with MSOs. So we're there to support not only the big folks, but roughly about the 75% of dispensaries out there that are not affiliated with an MSO as well. Let me pause there and see what other questions I can hit there. I think I covered a little bit about expansion, a little bit about products. What else?
Aaron Grey: Yes, just quickly adding on, just would you look about - think about replicating that strategy in other States and as you now kind of focus more on plant-touching or are you kind of just focus with just those two States kind of in the near to medium term.
Mark Scatterday: Obviously, we've got some significant assets to work through in the two States we're already in. That said, as we look at what's available out there, there are some interesting assets. And I want to be clear we're not looking to go to the retail side of this. I know we have retail in Massachusetts and hopefully we'll have expanded retail in Massachusetts with our licenses. That's really our test bed. We can test our Jupiter products there. We can test our other product developments, but as we look to other markets that ability to do manufacturing a cultivation and provide that sort of wholesale supply, that is interesting to us. So I think as with all things, you'll take a look at what comes down the pipe, you evaluate it, see if it makes sense and if the numbers line up, you certainly rule nothing out.
Aaron Grey: Okay, great, thanks. That's helpful. So then regarding the Jupiter business, I mean, I see that kind of return to growth during the quarter. I think you said Canada was up 20%. So it looks like that was a good portion of incremental growth. So just regarding the U.S. business for Jupiter, you talked about September being very good. Mark would love to get your commentary in terms of what you're seeing more near-term. And kind of a higher level question that I've gotten I'm sure you guys have as well in terms of growth being more in line with what we might have seen from the MSOs. Last quarter and then this quarter, some of the bigger players, I know some of which are your customer base. So how best to think about that growth and when it might start to get a little bit more in line with MSOs obviously this is just one segment just being vaped within that, but I'm just starting to see more sequential growth there.
Mark Scatterday: Yes. Thanks, Aaron. We're really excited where Jupiter is today. And what we've always been able to deliver is a scale and grow profitably and with a solid foundation. That's what we're going to build upon. With Gary expanding his responsibility and role within TILT, it really frees up my time to where I can focus on what really is my passion in that product and innovation. So I'm working really close with SMORE and our newly developed R&D laboratory to develop foundational technologies that then we can build suites of products around it. Combine that with our geographical footprint, one of Jupiter's strengths is its diversity and its customer base. And we're working really close with both smaller customers, the mid-size and the large MSOs and our expansion international what really catapulted the Jupiter in the beginning with the growth of cannabis was our timing in the marketplace. We're able to get in early with some disruptive technology and really grew with the category and put some distance between ourselves and the nearest competitors, we're taking that same success formula and strategy internationally. And we're getting a head start on that with medical really with a medically approved products and technology. So, again I'm working really close with smaller manufacturing partners. They've obviously got a lot of resources that are really working to our advantage. Gary, you want to add anything to that?
Gary Santo: Sure. I think an interesting piece to the Jupiter story that maybe didn't exist or hadn't been contemplated is the plant touching connection. I think when you take a look at what a lot of the customers out there look for - they like that one-stop shop, whether it's getting their packaging, all the various pieces that you needed the equipment, now that we have especially in those supply constrained markets, we can then also offer Jupiter customers access to some of our plant touching assets. So if they're in a supply constrained market and need of wholesale flower or things like that, it also creates tremendous cross sell opportunities. We are dealing with the large MSOs out there, and what we've found is our supply chain management has been very well received. This quarter again, we experienced a moment where some of the competitors ran out of product and we were able to step in and fill those needs, except this time instead of supplying the suppliers we sold directly to those customers. So that's fertile ground for us to really start to expand and get more aggressive. I think your comments about the tracking like an MSO, I would add one thing away from Jupiter. If you actually look at the growth in our plant touching business, it's actually tracking pretty favorably along with where MSOs are, I think we said between the two, we're up almost 24%, 25% or so give or take. So that's sort of in line with what you're seeing. And I think what is interesting is remember we don't have that retail presence. We're not opening up new stores right now. That's just coming out of our wholesale business and also from our one medical dispensary in Taunton. So, as we think about the future going forward and actually bringing those facilities closer to near capacity, we think there is a lot of runway there to keep pace.
Aaron Grey: Yes - no, absolutely. And that's it from me, then I'll jump back into the queue. And Mark you’ve often talked about and you highlighted for innovation being so key to your own process and that of Jupiter. So can you talk about how key you think it is now for Jupiter and driving innovation separating itself when working with CECL to create defensibility against some of the other products that are on the market, and then if you could comment kind of how you've seen that trend in terms of potential impact on pricing. And then just also to add on just how that packaging part category for vape products, how that's been evolving for you guys to know it's been a new initiative. Thanks. And then I'll pass it on.
Gary Santo: Yes, sure. Thanks Aaron. Again, innovation has always been kind of the foundation and cornerstone, you know, Jupiter. And although we have - we build on that foundational, we've really just been in our first phase as we talk about the pillars of our innovation. We've only focused on vaporization, and yes, as the market expands and the vaping category has been relatively flat if not declining as a percentage. There is exciting new ground in heat-not-burn and as well as vaporization for concentrates. And we're really focused on these other areas. So those three pillars would be Jupiter liquid as our vapor line. Jupiter essence would be more if you think of it as concentrates and Jupiter Bloom is the other division of heat-not-burn. There is actually some really interesting space that we're exploring. That's kind of more that open space and between heat-not-burn and vaporization. So I can't really share a whole lot right now with that, but it's something that I'm very excited about that we've got our supply and our - and this is all by the way that we could really rely heavily on IP. That's going to be really important to us. As far as the second part of your questionnaire on packaging, we're making tremendous progress with packaging, and we're, as we're leaning into packaging and providing solutions for our customers. We're now focused on now the unique side of that. And we're just entering into that space of working with our suppliers and being innovative and coming up with some really fresh new ideas. That's where we're going to win on innovation and our future, and consistently providing that level of service that we always have.
Aaron Grey: All right, great. Thanks for that color. And I'll pass it on.
Operator: [Operator Instructions]. There showing to me no further questions over the phone lines at this time.
Gary Santo: Great, Taylor. Do we have any from the web?
Taylor Allison: Yes, we do. So, let’s start with some assessment on Blackbird in a lot of feeds. Regarding the Blackbird news, it's great that TILT save money, but where can we expect future growth to come from?
Gary Santo: Okay. That is a great question. And a common one we have talked about Blackbird as being that future growth engine for us. And like any startup, it does have that chance to be a home run down the road. I think for us, we have some near term growth prospects right here in our own backyard. Jupiter just getting started, and as you've seen the plant touching assets, while they're up only 24% quarter-over-quarter. They have a lot of room to run. They're not even near capacity, and if we were to get our retail licenses in Massachusetts we'd have to step up production that much more. So we want to sweat our existing assets. And then also as we start to look around in the M&A world out there, as we now have these additional resources, we have an opportunity to be inquisitive. And it's not to say, we'd go on a spending spree, but we could start to look at interesting tuck-ins and acquisitions that support not just plant touching or the inhalation business, but any of the ancillary pieces that our customers might need. Again, we're trying to fill the entire spectrum for them, not just be a one or two product sort of organization. So there are some interesting assets out there. Again, we would not be investing in what we would consider to be far away growth. I think we have to limit ourselves somewhat to things that are cash flowing and it could be accretive more immediately. I think that's the case with a lot of folks in this industry right now. But I think we will continue to keep an eye out for additional growth, but we have a fair amount of room to run right now just with our existing.
Taylor Allison: Thank you. A follow-up to that, you mentioned another question, you mentioned not buying a startup. Is there other M&A that you would do? What kind of companies would you buy?
Gary Santo: Sure. I think kind of building off the prior question, I think, there is nothing that we won't take a look at per se. I think it's important to look at everything that comes across the desk, but it's also important to have a discipline. And we have an internal scorecard that we keep that makes sure that top five or six things that we're looking for and get checked off before we even start to deploy resources to evaluate that. And as I mentioned, having cash flow and being accretive, that's important, taking a look, it allows us to expand our footprint. That'll be another thing that will be important. Does it tuck-in and allow us to go deeper in our existing markets. So, certainly nothing revolutionary, but I think it's also remembering what we're good at staying true to what our core mission is, and not getting blinded by just the sheer volume of opportunities out there. So again, there is a lot of interesting things. Our banking friends have done a good job of keeping a surprise to them. So I'd say stay tuned.
Taylor Allison: In regard to global expansion, but what can we expect from the recent news about Kanabo?
Gary Santo: Oh, I guess I'll start, and Mark, you want to jump in there too. So I think the cannabis thing is interesting to us, right? So we already have a medical device over in Israel. This is an opportunity to now expand to medical devices here in the EU. And I think that's really important because that's the next logical step. I think if you take a look at Europe, I think you've heard others say that Europe's probably three to five years behind where the U.S. is right now. So it would make sense that their next phase would be to go right into the medical side  And we think vaping is just getting started on that front. So having a partner there that can help us distribute, it's important that it's a very cost-effective relationship for us. We can't boil the ocean and build out teams all over the world. So if we can leverage other people's distribution and also their R&D capacity to work alongside us, I think you'll see us look to expand into markets with a similar formula.
Mark Scatterday: Couldn't have said it better myself. Now we are really excited about the part we we've worked with Kanabo now for just over about two years. And they have just proven, although, things have been slow to start over in both Israel and Europe, Kanabo has proven to be a really terrific, partner on the R&D side and the regulatory side. So really excited about what the future hope there.
Taylor Allison: Great. This one is for Mark. I heard Gary say something about Mark spending, more time focusing on Jupiter. I know you touched on that a little bit in the analyst questions, but what does that mean?
Mark Scatterday: Yes, I think it's. We couldn't be - I personally couldn't be any more proud of the team. And since I've taken on the role of Interim CEO in May of 2019. We couldn't be any more proud with the turnaround, and it has taken a tremendous amount of effort and work and time, which has really displaced my energies and efforts out of Jupiter. I came, Jupiter was extremely successful in the beginning. It took a 100% my focus in work, and really working closely with the team. But since May of 2019, I have spent 80%, 90% of my time on the corporate level of TILT, you know, with the turnaround, I'm very pleased and proud of where we are today. And again with Brad and Gary, um, going into their respective roles and taking on more responsibilities, it is freeing up my time to where now I can spend more time in Jupiter, and again that's where my passion lies is on new product. And I know a new disruptive platform or technology will be really that second stage boost that we've been looking for. We've got some exciting stuff in the work.
Taylor Allison: Thank you. That’s it for questions today.
Operator: And with that, we've reached the end of our question-and-answer session, and I would like to turn the call back over to Mr. Mark Scatterday for any closing remarks.
Mark Scatterday: I really appreciate everyone's attendance today and participation, and we really look forward to our year-end - our next meeting, year-end, probably April of 2021. I hope everyone has a great holiday and a safe time with your family. Thank you.
Operator: With that, this concludes today's teleconference. You may now disconnect your lines at this time. Thank you for your participation and have a wonderful day.